Operator: Good afternoon and welcome to the EVERTEC Inc., First Quarter 2016 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Kay Sharpton of Investor Relations. Please go ahead.
Kay Sharpton: Welcome to the EVERTEC's first quarter 2016 earnings call. With me today are Mac Schuessler, our President and Chief Executive Officer; and Peter Smith, our Chief Financial Officer. A replay of this call will be available until Wednesday, May 18. Access information for the replay is listed in today’s financial release, which is available on our website under the Investor Relations tab. As a reminder, this call may neither be recorded nor otherwise reproduced without EVERTEC’s prior written consent. For those listening to the replay of this call was held on May 11. Please note, there is a presentation that accompanies this conference call, and it is accessible in the IR section of our website, as well as via the link provided in the press release earlier today. Before I begin, I would like to remind everyone that all financial results described in its presentation should be considered preliminary and unaudited. As previously disclosed, the Company was unable to timely file its 2015 Annual Report on Form 10-K for the year ended December 31, 2015, due to a restatement that is in process. The restatement will also delays the Company’s 2016 first quarter report on Form 10-Q. The reference preliminary information has been prepared by the Company's management and has not undergone the complete review with the Company's outside auditors that is customary for the quarterly results. The preliminary information represents the Company's good faith belief as to the Company's results for the periods presented. Additionally, this call may contain forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. These forward-looking statements about our expectations for future performance are subject to known and unknown risks and uncertainties. EVERTEC cautions that these statements are not guarantees of future performance. All forward-looking statements made today reflect our current expectations only, and we undertake no obligation to update any statements to reflect the events that occur after this call. Please refer to the Company’s most recent Annual Report on Form 10-K filed with the Securities and Exchange Commission for factors that could cause our actual results to differ materially from any forward-looking statements. During today's call, Management will provide certain information that will constitute non-GAAP financial measures under SEC rules, such as adjusted EBITDA, adjusted net income, and adjusted earnings per share. Reconciliations to GAAP measures and certain additional information are also included in today's earnings release and related supplemental slides. I’ll now turn the call over to Mac.
Morgan Schuessler: Thank you, Kay, and good afternoon, everyone. Kay Sharpton has joined the EVERTEC team as Head of Investor Relations. I've had the pleasure of working with her in the past and am confident her Investor Relations experience and background in the industry will be an asset to as we move forward. Again, welcome to the team, Kay. We are pleased with our preliminary first quarter results as we exceeded our expectations in a challenging environment. I'll cover some of the quarter's highlights and provide you with an update on recent developments. Beginning on Slide 4, we have a summary of our Q1 results. Total revenue was approximately $95.5 million, an increase of 5% compared to the first quarter of 2015. We generated adjusted earnings per share of $0.41, an increase of 8%. We generated significant free cash flow and returned approximately $10 million to our shareholders through approximately $2.5 million in stock buybacks and $7.5 million in dividends. While we were limited in our ability to repurchase shares in the quarter you due to the restatement, I am pleased that we continued to generate strong cash flow enhancing our ability to resume share repurchases once we have satisfied our reporting requirements which Peter will speak to later on this call. On Slide 5 is the summary of the Latin America results. As previously disclosed on March 1, we completed the acquisition of 65% of Processa for approximately $6 million. Processa offers a wide variety of payment services, including processing for card issuers, financial institutions and merchants in Colombia. Compensar, Colombia's second largest social fund administrator retained its 35% ownership stake in the Company. We include one-month of results from Processa in the quarter, and those results were consistent with our expectations. We are excited about the Processa deal, as it provides us with a platform to expand upon in the Colombian market, one of the largest payment markets in LatAm. Excluding Processa, Latin America generated single-digit revenue growth in the first quarter, which reflects some impact of anticipated client migrations. Importantly, the LatAm team is working hard to retain customers and continues to improve our pipeline of new prospect and we expect to announce some win as we progress throughout the year. On Slide 6 is an update on Puerto Rico. We have executed well in Puerto Rico in a challenging environment and continue to see the benefits from the expansion of our relationship with First Bank. Additionally, we experienced card payment transaction growth of approximately 4% in the quarter. Unfortunately, there's currently no resolution to the Puerto Rico fiscal situation. In addition to the debt payment default announced earlier this month, the Puerto Rican government is closely managing its payments to ensure that essential services are maintained on the island. Given our status with the government and the essential services we provide, we continue to see our government receivables pay consistent with our past experience. We are monitoring the government situation closely. If the government ceases or delays paying its non-essential [lenders], there may be ripple effects such as business values or further unemployment that could negatively I'm island's economic activity. While we continue to work hard to find opportunities for our Company it is imperative that the government finds a resolution to its physical problems to avoid broader impacts to the economy. Thus far, our transactions and business has been he resilient to the fiscal situation. Our April transactions have continued the trend we experienced in Q1, which is encouraging. Regarding the Department of Justice review, we have recently responded to the request for information and we expect them to review our responses over the next several months. It is a confidential process, but we will keep you updated if there are any new developments we can share. Our view remains that we operate in a highly competitive industry with large global companies as well as local competitors. Accordingly, we will continue to compete for business every day as we go through this process. Turning to Slide 7, as we continue to improve our organization I want to update you on several recent items. I am delighted to announce a new addition to our organization to further drive revenue through product and marketing initiatives. Guillermo Rospigliosi will lead our product management, marketing and innovation teams. Previously he was with Visa for 10 years, most recently as Chief Risk Officer in Latin America and prior that he was Managing Director of Latin America for Visa's CyberSource Division. This quarter we also launched our new corporate values focused on creating a high performance culture and celebrating our first ever annual recognition of our top performers at the New York Stock Exchange on March 11. Through these initiatives, we are building an even more engaged workforce. Through these efforts and our investments in the business to drive service and innovation, I am confident in our future success. With that, I will now turn the call over to Peter.
Peter Smith: Thank you, Mac, and good afternoon, everyone. Before I begin my comments on the quarter, I want to give you an update on our restatement process. We are working diligently to complete the restatement of our 2013 and 2014 financials that will allow us to file our 2015 Form 10-K and the Q1 2016 Form 10-Q. We are working with a plan to complete these filings before May 30, which is an important date that I will cover later when I review the amendment to our credit facility that was negotiated in the quarter. I’ll now provide a review of our preliminary unaudited first quarter results and then update our financial outlook for 2016. Turning to Slide 9, you will see the first quarter segment revenue details and the total Company revenue. Total revenue for the first quarter of 2016 was $95.5 million, up 5% compared to $91.3 million in the prior year. We had a positive impact of one extra day in the quarter related to the leap year effect as well as approximately one-month of contribution from Processa partially offset by the shift in the Easter holiday. Easter fell in March this year and was in April last year. Unlike the U.S. many businesses closed during the holiday in Puerto Rico having a negative effect on payment processing. With respect to the separate mix in the first quarter merchant acquiring net revenue increased 14% year-over-year to approximately $23 million primarily driven by our expanded FirstBank merchant business. Payment Processing revenue in the first quarter was $27 million, an increase of approximately 2%. Increases in our ATH debit network and card processing volumes and one-month of revenue contribution from the Processa acquisition were partially offset by the revenue shift associated with the FirstBank agreement that is now reported in the Merchant segment. Payment Processing growth was also reduced by the terminated government lottery tax program in the fourth quarter of 2015. Transaction growth in Puerto Rico was resilient with payment transactions growing approximately 4% year-over-year for the quarter continuing the trend we experienced in 2015. In April, we have seen this 3% to 5% trends continue but we remain cautious given the fiscal situation. Business solutions Q1 revenue increased 2% to $45.6 million and included the one-time benefit of revenue related to several completed IT consulted projects. We continue to experience growth in our core banking business driven by new services and volume increases related to bank consolidated activity in Puerto Rico, which we will analyze in the second quarter of 2016. This growth was partially offset by year-over-year decreases in item and cash processing and hardware revenues. We expect these decreases to continue throughout the year. Moving on to the next Slide number 10, you will find a reconciliation of our adjusted EBITDA detailing to EBITDA. Notably, we incurred severance costs related to plan cost actions that we took in the quarter and incremental costs related to the Processa transaction and the restatement. We currently estimate the cost of the restatement to range from $5 million to $7 million assuming a pre-May 30 filing, and this includes the consent fee for the credit facility amendment. These costs are anticipated to have a cash impact in the second quarter. Adjusted EBITDA for the quarter was $46 million, an increase of 1% from $45.7 million in the prior year. Adjusted EBITDA margin was 48.2% and this represent a 180 basis points decline to adjusted EBITDA margin compared to last year. Our Q1 adjusted EBITDA growth and our adjusted EBITDA margin percentage are explained in more detail on the next slide. Moving to Slide 11, you will see a year-over-year adjusted EBITDA margin range for Q1. Starting from the left column, the bridge begins with the adjusted EBITDA margin in the first quarter of 2015 of 50%. Moving to the right, first we benefited approximately 60 basis points from a favorable revenue mix. Second investment expense increased year-over-year approximately 110 basis points primarily due to incremental investment expense in Latin America in our card processing product initiatives. We expect these investments to continue. Third, we were impacted by usually high health insurance expense in the quarter related to specific claims. These claims impacted our margin by approximately 70 basis points. The business-to-business tax and other operating taxes continue to impact us by approximately 60 basis points. As an update the VAT tax that was intended to replace the B2B tax in April has been extended to the end of June and will impact the second quarter. The combined impact of these referenced items results in adjusted EBITDA margin of 48.2% for the first quarter. Moving to Slide 12, adjusted net income in the first quarter was $31.1 million, an increase of approximately 6% from $29.4 million in the prior year. We benefited from approximately $300,000 and interest savings driven by a lower outstanding debt balance and reduced interest rate. Our effective tax rate in the first quarter was 8.5% as compared to 10.5% in Q1 of 2015 and was primarily lower due to the tax planning initiatives that we completed in the fourth quarter of 2015 that reduced non Puerto Rico taxable income. Adjusted net income also now reflects the impact of non-controlling interest associated with Processa acquisition. Q1 adjusted earnings per diluted share was $0.41, an increase of 8% from $0.38 in the prior year and reflects the benefit of lower diluted share count. Moving on to our cash flow overview for the quarter on Slide 13, net cash provided by operating activities was approximately $30 million and 1% year-over-year increase and this amount includes the impact of severance payments in the quarter. There has been an approximate $3 million decrease in restricted cash as we substitute $3 million of unused revolver to satisfy a card network cash collateral requirement related to our card processing business. Moving along the Processa acquisition was approximately $6 million in U.S. dollars and capital expenditures totaled approximately $3 million. We expect CapEx to increase throughout the year and continue to plan for CapEx to be approximately $35 to $40 million for the year. Next the Company made $7 million of principal debt payments and payments on our short-term facilities. And finally, during the quarter we paid cash dividends to stockholders of approximately $7.5 million and repurchased approximately $2.5 million of common stock for a total of $10 million returned to our shareholders. We continue to have approximately $117.5 million available of future use under the Company's share repurchase program. We announce today another $0.10 dividend we paid on June 10, 2016 to shareholders of record as of May 23, 2016. Our ending cash balance at March 31, was $36 million, an increase of approximately $7 million from our 2015 year-end balance. At this time, I would like to provide you with an update on the status of our government receivables. Our receivables at March 31, was $18 million which is slightly down from the balance at the end of 2015 and down approximately $5 million from our ending Q1 balance in 2015. The receivable balance as of April 30 is relatively unchanged from March. Given the government debt situation we continue to monitor our receivables diligently. Moving to Slide 14, we provide a summary of our debt. This slide reflects a quarter ending net debt positions of approximately $631 million, comprised of the just mentioned $36 million of unrestricted cash and approximately $667 million of short-term borrowings and long-term debt. Our weighted average interest rate was approximately 3% and our net debt to trailing 12-month adjusted EBITDA was 3.5 times. As of March 31, total liquidity, which includes unrestricted cash and available borrowing capacity under our revolver, was $125 million. I will now provide some details on the credit facility amendment I referenced earlier. As we announced on the April 14, in connection with the restatement we amended our credit facility temporally wage certain covenants. The most significant of which provides for an extension of the financial reporting deadlines for our 2015 Form 10-K and 2016 Q1 Form 10-Q to September 15, 2016. As consideration for the extension we paid a consent fee of approximately $4 million. In the event that the 10-K and 10-Q are not filed on May 30, 2016 the amendment provides for a permanent 50 basis point increase in the interest applicable to the loans under the credit facility. If we miss this deadline and fail to file by July 15, 2016, we would incur further 25 basis points increase and the result would be combined permanent 75 basis point increase. Additionally, there is a condition in the amendment that suspends our stock repurchase program until the amendment conditions are satisfied. Although there can be no assurance until this complete and our filings are made we’re working diligently on the restatement and have a plan to complete this work prior to May 30, which would lead the interest rate on the facility unchanged and get us back in compliance. Moving to Slide 15, I will now provide an update on our 2016 guidance. We are raising our guidance ranges on revenue and adjusted earnings per share to reflect our favorable results in Q1 as well as our completed acquisition of Processa. We now expect revenue to be in a range of $378 million to $385 million representing growth of 1% to 3%. Our adjusted diluted earnings per share guidance of $1.59 to $1.66 represents a range of negative 1% to 3%. We now expect margins to trend lower towards the midpoint or lower portion of the 48% to 49% guided range as a consequence of our Processa acquisition which operates at lower overall margins and continuation of the B2B tax I referenced. Also as I mentioned last quarter and as a reminder in 2016, we no longer received an expense offset of approximately $1.5 million related to maintenance, expense reimbursements provided for in the Popular merger agreement and this begins to fully impact us in the second quarter and for the remainder of the year. We are also closely monitoring two potential incremental regulatory headwinds that could impact us negatively. The first is a proposed permanent extension of the B2B tax and the second is the proposed change to The Fair Labor Standards Act that could change requirements to pay overtime in Puerto Rico. The latter could significantly increase wages across Puerto Rico given average ranges on the island are significantly lower than the U.S. mainland and thus more employees would fall into the scope of the proposed change to the act. Our guidance does not reflect the enactment of either of these laws. Also for clarification the guidance assumes a completion of the restatement prior to May 30. In summary, we are pleased with the operating performance in the first quarter and the closing of Processa, while we cautiously monitor the unfolding resolution of the Puerto Rico debt situation we remain focused on the execution of annual goals and our strategic initiatives. We will now open the call for questions. Operator, please go ahead.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question will come from George Mihalos of Cowen. Please go ahead.
George Mihalos: Great. Thanks, guys and nice start to the year. Wanted to ask on the guidance, the $5 million increase to the revenue range that you're looking at, is that roughly $2 million or so coming from Processa or can you just kind of parse that out for us?
Peter Smith: Hi, George, it’s Peter Smith. The majority of that is Processa.
George Mihalos: The majority of the $5 million?
Peter Smith: That’s correct. Yes.
George Mihalos: Okay. And then just a little bit of housekeeping it looks like by my math based on the 6% growth rate in LatAm that Puerto Rico grew about 4% or so. Is that – is my math right in the quarter?
Peter Smith: That’s correct, George.
George Mihalos: Okay. And you had called out I think some one-time or non-recurring work in business solutions. Can you parse that out for us and it sounds like that will continue in 2Q before tapering off?
Peter Smith: Well, just in our Business Solutions segment, we're continuously performing consulting projects in large part for Banco Popular. This quarter we had two significant projects complete. The revenue related to the projects generally can be a bit lumpy depending on the revenue recognition that's particular to each arrangement. To answer your question as we move forward, our pipeline has been relatively strong with Banco Popular, but again it's the revenue recognition that will dictate which quarter will experience one-time amounts like this.
George Mihalos: Okay. And then two quick ones. Mac, you sounded a lot more encouraged about the pipeline of new business maybe you could elaborate on that? And then should we assume after the filings that you will be an active repurchaser of your stock again? Thank you.
Morgan Schuessler: Yes. Thanks, George. It’s Mac. So, on the pipeline we are definitely encouraged that we are making good progress not only in trying to retain some of the capital you talked about in the past, but also building the pipeline for new business. We don’t have anything to announce on this call. So I think you’ll see throughout the year this is a place we’re going to be focused on making progress. And as far as the repurchase, what I would say is the window will be back open once the restatement is completed.
Peter Smith: Yes. I’d just add that we’ll follow our capital allocation methodology where we’re going for growth investments first with our free cash flow and then returning excess cash flows through our dividend and share repurchases once that window is open.
George Mihalos: Thank you.
Morgan Schuessler: Thanks George.
Operator: And our next question will come from Vasu Govil of Morgan Stanley. Please go ahead.
Vasu Govil: Hi, thanks for taking my question. Just quickly first I think Mac you said that you thought that the quarter did better than your expectation despite a challenging environment. Can you talk about where did you see this trend was it mostly Puerto Rico or your other geographies in Latin America. And it sounds like the guidance change was only for Processa and not for the better performance in the quarter, so can you just talk us through whether you expect – you are just taking conservative view or is there just seasonality in the business going forward from here?
Morgan Schuessler: Yes. What I would say is Puerto Rico performed well given the quarter. As I said earlier it’s an ambiguous situation with the government now being very careful about who they can pay. So I do think we were delighted with the first quarter, the metrics and as we said in April that was consistent as well. This is an unchartered territory for many executives. So I think it’s performing consistent with the past, which I think is good news for now.
Peter Smith: And then just adding with respect to the full-year Processa is the majority of the revenue, variance and the uptick in the guidance and then with respect to the rest we are seeing some of the profits that we’ve carried forward from Q1 and project out adding to the bottom line as well.
Vasu Govil: Got it. And I just quickly wanted to revisit the tax breaks that you guys have in Puerto Rico. Any risk of those getting pulled completely or reduced given the continued stress that the government is in?
Peter Smith: We have not heard any mention of any revocation of the tax grants that - of the type that we have. So we are unaware of any intent or potential action to do that.
Morgan Schuessler: And I would just add to that there is two issues with Puerto Rico, one is the government debt and the second is job creation. So the second component is pretty well know I think by the politicians both here and in DC and by the local business community. So I am optimistic that job creation will continue to be important, which will make this tax credit important. We can’t predict the future, but job creations and economic stimulus is going to be important for Puerto Rico going forward.
Vasu Govil: Great. Thank you very much.
Operator: Our next question will come from Bob Napoli of William Blair. Please go ahead.
Robert Napoli: Thank you. The 14% revenue growth in merchant acquiring with the addition of FirstBank, how much did FirstBank add to that and do you expect merchant acquiring at this point, understanding the caution you have around Puerto Rico, but on the current trends is that a reasonable run rate of revenue growth in merchant acquiring?
Peter Smith: Bob, 13% of the 14% was FirstBank.
Robert Napoli: Okay.
Peter Smith: And with respect to the overall growth rate that we experienced volumes, sales volumes is tracking couple of points below the transaction volumes that we're seeing. And we are seeing a lower average ticket and a less advantageous revenue mix and those are really what are driving the growth in merchant acquiring. As we move forward, as we cautioned, we have projected a bit of a tail off in volume throughout the year that we don't expect to see the 2014 repeat for the rest of the year.
Morgan Schuessler: Yes. Bob, this is Mac. Again, the government is – they're trying to [indiscernible] some critical vendors now. They've announced a plan that non-critical vendors they may slow payments. So it is very difficult for us to predict what the trending is going to look like over the rest of the year. I think we tried to put guidance out there that assumes either way a little bit of variance. But we've got to see what happens over the coming months.
Robert Napoli: Okay. And then just you talked about pipeline of potential new clients, what about the bank partnerships or acquisitions anything on that front that you’ve been able to build into a pipeline of potential investments?
Morgan Schuessler: Yes, I would say we continue to be very focused on M&A as we’ve said on multiple calls and we have somebody dedicated to that effort. We don’t want to make the mistake of the past of talking about those types of deals until we’re ready to close. But it continues to be a focus for the company.
Robert Napoli: And what types of deals are you looking for? Has that changed at all?
Morgan Schuessler: It hasn’t changed from what we said in the past I mean the size would be anywhere from Processa to maybe 59 on the high end. But we’ll look for opportunities to expand our footprint like Processa did. We’re looking for opportunities to expand our technology and product capabilities and we would also look for leveraging scale opportunities in markets where we already exist. If there is something affordable where we can roll it into our existing operations. Those are three types of things we look for and if sort of the view, profiles haven’t really changed.
Robert Napoli: Okay. Then just last question, you hired this gentlemen from Visa to lead management marketing innovation is what’s the – is there a specific area of his expertise you’re looking him to add to? Have you been able to maintain the other key executives in your organization?
Morgan Schuessler: Yes, we have been able to retain those we think are critical to the growth of the business I can think Guillermo brings a regional experience across he went CyberSource which is the eCommerce division of Visa. He’s also got risk experience. What we really want to do is get someone who can take a look across – at our products across all of our different geographies to make sure we are maximizing the revenue potential in each country of those products, make sure that we’re more focused on marketing, so that we can bundle the products together win the full piece of business, a bit more disciplined around those different areas, which we haven’t done in the past. And given his experience in the industry across the region, he is Peruvian and he’s got his MBA, got great academic experience as well, I think he is going to be a good add to the management.
Robert Napoli: Okay thank you.
Operator: And our next question will come from Bryan Keane of Deutsche Bank. Please go ahead.
Bryan Keane: Hi, guys. Just first wanted to ask on FirstBank, how many points of growth did that contribute to the quarter? And then second, when does that contract anniversary? It sounds like an anniversary is already so the second quarter growth rate will drop as a result, but just want to make sure I got the timing correct?
Peter Smith: Hey, Bryan, it’s Peter. So the first quarter excuse me first quarter contribution was 13% of FirstBank and it will anniversary in Q4.
Bryan Keane: What about total revenue?
Peter Smith: I think you can derive that math.
Bryan Keane: Yes, we can just calculate it out. But you’ve mentioned that merchant should drop, the growth should drop and if doesn’t anniversary for another couple of quarters. I guess I am just trying to figure out why we…
Peter Smith: Yes. As we - just to help clarify, we are projecting sales volume to go down in part just lower average ticket as we’ve discussed and just what we see will be a bit of squeeze naturally coming from the fiscal situation and we are just being cautious in the outer quarters.
Bryan Keane: And you’re seeing that already or you’re just planning to be conservative in case that happens?
Peter Smith: We are planning.
Morgan Schuessler: Yes, what we said, Bryan, is that April was somewhat consistent with the first quarter but again, we do know the government, which is the largest vendor on the Island, is prioritizing payments and withholding payments to some vendors. That's what they're publicly saying. So it’s very difficult to assess the impact but invariably it is a by far the largest vendors on the Island and we are anticipating that it could impact the volumes.
Bryan Keane: I got it. That helps clarify the merchant…
Morgan Schuessler: And I think it’s important to recognize too that many of these resolutions for the debt situation have austerity measures in place. So that may as well and if you look at the principal board that’s going to be put in place to make sure that they control government spending. Now how that plays out is difficult to model but that’s what we are trying to anticipate cautiously.
Bryan Keane: That’s helpful. And then just finally from me looking at the potential two regulatory changes that you mentioned Peter. You said that’s not built in the guidance I guess if those things do get enacted, what kind of impact would it have on the model? Thanks so much.
Peter Smith: So Bryan the B2B is fairly straightforward. It's impacting us about a half a million a quarter. The labor act is much more difficult. It requires the facts and circumstances analysis of what employees do and it's very uncertain what form the law's going to come out in. So we really don't have an accurate way of modeling that.
Bryan Keane: But on the first one on the B2B tax, that's already embedded in guidance for the full-year anyway, it's just that if it continues going forward?
Peter Smith: No, it's embedded for Q2. We had originally thought as the law originally had it being replaced by the VAT tax in April that it would expire, but it was extended in Q2.
Morgan Schuessler: Yes, we didn't think it was legislation.
Peter Smith: Right. Now just to clarify, there's proposal to keep it permanent and that's what we called out as a risk.
Bryan Keane: I got it. Helpful. Thanks so much.
Operator: The next question will come from Tien-Tsin Huang of JPMorgan. Please go ahead.
Tien-tsin Huang: Good afternoon, thanks for the slides. It's really helpful. Processa from here I guess what's the growth profile there and what's the plan to accelerate growth there? Is it penetrating existing or finding new partners? What's the go forward plan?
Morgan Schuessler: Yes. So, Processa, I'll let Peter talk a little bit about some of the details, but it grows faster than the rest of our business so we like the general growth metrics as a standalone business. It doesn't have the same margins because it's a smaller business. We'll be very focused on continuing to try to grow that business. The products that we have that they don't have and vice versa, so we think that there’s going to be synergies in that way. They have a strong role there for clients. They have the largest retail as a client. The largest social fund administrator in most of the banks, so the ability to grow that business faster with investments and with some of our capabilities out of EVERTEC are some of the things we're very focused on as we integrate that business. Like I said, the business even as a standalone payments business is pretty attractive and I don't know if Peter can add anything.
Peter Smith: Yes. I just add for clarification, 80% of Processa's in our Payments Processing segment and 20% is in the Business Solutions segment. It's growing just about low double-digits and we're very optimistic about the complementary things we can do with it for the Company.
Tien-tsin Huang: Okay. Good. That’s helpful. I guess Colombia with – I know the FX's been all over the place there. I'm curious, simply forgive me if it's a question that's not relevant, but just how does that impact the business at all in terms of billing and FX and translation if any – if at all?
Peter Smith: Well, the majority of all our resources will be in Colombia, in the same denominated currency. So the profits will be there to offset any of the declines, should that continue.
Tien-tsin Huang: Understood. So there's a match there. On the margin bridge, my last question, the margin bridge, the 110 bps of investment expense, sounds like that was planned and consistent. But is the return on investment that we should expect there that new wins. Is that what that is driving for? Or is that more of a catch-up in spend? Can you elaborate? Thanks.
Morgan Schuessler: I'll just speak generally. We're investing in Latin America with a new management team. We've made some technology investments to make sure we have some of the best products in the market. So that's been the majority of it. I don't know, Peter if…
Peter Smith: Yes. We wouldn't make those investments if we didn't expect to get a higher return than their cost, in excess of our cost of capital.
Tien-tsin Huang: Okay. So not necessarily a catchup, so going forward, I mean I'm assuming that's probably in the run rate, but do you have good line of sight and how much you need to spend beyond, say, 2017, 2018, 2019 at this stage or is it still in discovery mode?
Peter Smith: Yes. We're still developing plans in certain countries and that will dictate the amount of investments that we're going to make. As we've talked about, we had to make investments to improve some of our products for the markets and that's really what this represents.
Tien-tsin Huang: Okay. Good to know. Thank you.
Operator: And our next question will be from Sara Gubins of Bank of America Merrill Lynch. Please go ahead.
Sara Gubins: Hi. Thank you. As the restatement process put a pause on M&A activity in the near-term or have you been able to continue looking and continuing conversations with potential targets?
Peter Smith: Yes, the restatement hasn't really impacted our interactions with our customers or M&A prospects.
Sara Gubins: Okay. And then should we expect further severance?
Peter Smith: We will continuously manage our cost structure. We're not planning any particular actions that we would project for you right now, but we're always looking at our cost structure as we move forward and then if there's anything meaningful we’d let you know.
Sara Gubins: Okay. And then in terms of the impact of the sales tax, do you have any sense of what the impact has been on consumer spending? And have you seen any behavioral change in merchants where they might be shifting back to cash at all from electronic payments to perhaps try to avoid the higher sales tax?
Morgan Schuessler: I don’t think we’ve really seen that as a trend. Like I said, when we published the numbers we give you the volumes and the trends. So it hasn't had a significant impact.
Peter Smith: Yes. I just to add that you would think there would be natural behavior perhaps to do that and the other element that we are concerned about with respect to the sales tax would be the impact of eCommerce where people could go to eCommerce and try to potentially avoid the sales tax..
Sara Gubins: Okay. But you are not seeing anything so far?
Peter Smith: No, we’ve shared the volumes and it's been holding up, it's been consistent, yes.
Sara Gubins: Okay. Thank you.
Operator: Our next question will be from John Davis of Stifel. Please go ahead.
John Davis: Hey, good afternoon guys. I guess first – Peter, I was wondering if you could maybe parse out what guidance implies for PR transaction growth. I know it was 4% in the quarter. You said it's been consistent so far in April. But you also said you kind of expect or are bracing for some sort of slowdown. Is that low single-digit assuming it still stays positive, any type of directional color would be helpful?
Peter Smith: Yes. We have modeled out 2% to 3% and additionally as we've mentioned we've also done some modeling on the sales volume and the impact which, again, is just sort of following in tandem.
John Davis: Okay. And then quick easy one. Leap year pretty much offset Easter, those pretty much a was – is it fair to think about that way?
Peter Smith: I think so, yes. Easter here just so you're aware it's Good Friday and Easter because a lot of businesses are closed during those two holidays.
John Davis: Okay. And maybe could you help us think about – I think you guys did a nice job breaking out government receivables. Do you have any idea of what percent of your receivables are for what you would consider non-mission critical percentage of what they could potentially slow pay you on while continuing to pay you on the more mission critical stuff?
Peter Smith: We look at it generally from the revenue perspective and that would be about 10% of our government revenue which equates to about 1% to 2% of our overall revenue.
John Davis: Okay. And lastly, maybe one for you, Mac. On DoJ, appreciate your comments and obviously this is a little bit tough to talk about, but any sense for how long – do they have a deadline to reply to your comments or any idea when we could potentially get resolution?
Morgan Schuessler: No, unfortunately not. Like I said on the beginning of the call, our views has not changed around our position and we responded to their questions. So we are hopeful that they'll move expeditiously. But we haven't been given any type of timeline.
John Davis: Okay. Last one from me. Just on the credit agreement amendment, does that forbid you from doing M&A? I appreciate it hasn't stopped you from having conversations, but let's just say worst case scenario you don’t file by May 30, does it forbid you from doing M&A just like buybacks or is that not written in the agreement?
Morgan Schuessler: We are constrained just by the general leverage conditions within the facilities, but there's nothing specific to the amendment that addressed it. Buybacks which we mentioned in the…
Peter Smith: Yes, expect the buyback that you mentioned.
John Davis: Okay. All right. Thanks guys.
Operator: [Operator Instructions] Your next question will be from Jim Schneider of Goldman Sachs. Please go ahead.
Jordan Fox: Hi, this is Jordan on for Jim. Can you provide some color on payment trends in Puerto Rico in particular and what are you seeing in regards to the same-store sales credits, type of volumes and the other things you like to highlight here would be very helpful.
Peter Smith: I think beyond what we’ve said on the call earlier about what we are seeing once we don’t breakout the volume as you've described I don't know if you.
Morgan Schuessler: Yes. I’d just add that on the Island debit is the predominant transaction type and we think our metric that we are providing the 4% is the most meaningful metric that reflects the transaction activity.
Jordan Fox: Got it. And in light of the increasingly challenging environment in Puerto Rico, how many government contracts within business solutions might be a risk of deferral or cancellation in 2016? Thank you.
Morgan Schuessler: Like we said earlier most of what we do for the government's mission critical probably about – Peter said earlier 10% of revenue is government right. The majority of that we consider – almost half of that is federally funded. I would say 98% is we consider mission critical, so 10% we might describe as discretionary. So if you look at our total revenue base, our view on what’s discretionary will be from 1% to 2% not much above that. What they would choose to cancel and how they would view that – we haven’t been informed of any cancellations around those other services. So that’s what we would consider most likely at risk if they went in that direction.
Jordan Fox: That’s really helpful. Thanks so much.
Morgan Schuessler: Yep. End of Q&A
Operator: And ladies and gentlemen, this will conclude our question-and-answer session. I would like to hand the conference back over to Mac Schuessler for any closing remarks.
Morgan Schuessler: So thanks again for joining the call today. As we said earlier, we’re pleased with the quarter, we are cautious about Puerto Rico and we will continue to monitor the situation here. As we’ve done in the past I think try and provide opportunities for our Company and our investors even in this challenging market. We look forward to see you guys in the future. Thank you.
Operator: And ladies and gentlemen, the conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.